Operator: Good day and thank you for standing by. Welcome to the BAWAG Group Q1 2025 Results Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. There will also be a transcript published on the website. I would now like to hand the conference over to your speaker today, Anas Abuzaakouk, CEO. Please go ahead.
Anas Abuzaakouk: Thank you, operator. I hope everyone as well. I am joined this morning by Enver, our CFO. Let us start with the summary of the first quarter results on Slide 3. We delivered net profit of €201 million, earnings per share of €2.54, and a return on tangible common equity of 26% during the first quarter. The performance of our business was strong with operating income of €534 million, up 39% versus prior year, pre-provision profits of €336 million, and a cost/income ratio of 37% as we closed Barclays Consumer Bank Europe in February and are focused on integrating our acquisitions. Total risk costs were €59 million, translating into a risk/cost ratio of 43 basis points. We have a low NPL ratio of 70 basis points, down 10 basis points from year-end as we continue to see solid credit performance across our businesses. In terms of our balance sheet and capital, average customer loans were up 15% and average customer deposits were up 16% quarter-over-quarter. We have a fortress balance sheet with €15.3 billion of cash and LCR of 213% and overall strong asset quality. Our CET1 ratio stands at 13.8% with €189 million of excess capital above our 13% capital distribution target. Today, our business is approximately 85% retail and SME and 85% DACH/NL. With the low exposure to corporates that have an impact from tariffs and over 20% of our balance sheet and cash as we saw a great deal of froth and credit over the years. We will be patient as we adapt to changing macro conditions and the impact of tariffs. Moving to Slide 4, capital development. At the end of our -- at the end of the first quarter, our CET1 ratio was 13.8% after closing of Barclays Consumer Bank Europe the return to standardized approach for the retail and SME business, the impacts of Basel IV, the execution of a mortgage securitization, and after considering the first quarter dividend accrual of €111 million. And we paid the dividend for the year 2024 of €5.50 per share on April 11. For the quarter, we generated 108 basis points of gross capital through earnings. We have excess capital of €189 million, approximately 80 basis points above our capital distribution target of 13% for the year's 2024 and 2025. On Slide 5, our retail and SME business delivered first quarter net profit of €158 million, up 21% versus the prior year and generating a very strong return on tangible common equity of 33% and a cost/income ratio of 39% which includes two months of Barclays Consumer Bank Europe financials. Pre-provision profits were €264 million, up 30% compared to the prior year. The retail risk costs were at €48 million with a risk cost ratio of 53 basis points. We continue to see solid credit performance across the business with an NPL ratio of 1%. We expect continued earnings growth across the retail and SME franchise in 2025, driven by strong operating performance as we fully integrate the two acquisitions as well as solid growth in the consumer and SME space, which will be offset by muted mortgage loan growth given overall demand and pricing levels that we see. On Slide 6, our Corporates, Real Estate & Public Sector business delivered first quarter net profit of €36 million, down 7% versus prior year and generating a strong return on tangible common equity of 27% and a cost income ratio of 23%. Pre-provision profits were €59 million, down 4% versus prior year. Risk costs were €9 million, resulting primarily from booking of a more adverse ECL macro provision. We continue to see solid credit performance across the business with an NPL ratio of 60 basis points, down 10 basis points from the prior quarter. On the back of a strong first quarter of originations, we have a solid pipeline of opportunities, but we'll be patient, and see how customers react to the shifting macro and global trade situation. We will continue to focus on disciplined underwriting, risk-adjusted returns and not blindly chasing volume growth. On Slide 7 an update of the KNAB and Barclays Consumer Bank, Europe integrations. As far as our two strategic acquisitions are concerned, this year is about ensuring we fully integrate both deals and build a solid foundation for the future. There is a great deal of work taking place behind the scenes. We have been onboarding team members, decoupling from TSAs, integrating systems, harmonizing the data and applications landscape and reinforcing leadership where needed to ensure a successful integration. Our goal is clear. We work as one team. And we speak with one voice, as we position both businesses for future growth. Its early days, but we wanted to provide a snapshot of key developments and the progress being made. Six months into the KNAB integration; we completed data integrations, simplified the product landscape and exited 75% of transitional service agreements which we target to be completed by the middle of this year. Our focus in the coming months will be decommissioning redundant systems, continuing to reduce reliance on third-parties, preparing the bank merger application to convert KNAB to a branch, and working on the migration of our mortgage servicer targeted for the first half of 2026. Overall, the business has been performing above expectations. And we're already using KNAB best practices around customer onboarding. The teams are also assessing incremental product opportunities and hope to roll out a working capital facility to our KNAB customers. As we close three months on the Barclays Consumer Bank Europe integration; we have already completed the data migration, simplified our product landscape and exited several transitional service agreements of which we hope to have completed within 12 months. The teams are working hard preparing for the credit card system migration as well as the official re-branding to easybank Germany. Both the migration and re-branding are expected in early 2026. We're also working to centralize support functions and reduce reliance on third-parties. A number of leaders have taken on group leadership positions allowing us to draw on top talent across the group. Overall, the business has been performing ahead of expectations and we're excited about the many growth opportunities ahead. On Slide 8 an overview of our balance sheet and asset quality. As we have entered a period of elevated uncertainty in both geopolitical and economic terms, we expect to capitalize on the strength of our balance sheet and disciplined underwriting. Our concentration in secured lending and commitment to the DACH/NL region supports a low risk profile with an NPL ratio of 70 basis points well below 1% where we've been running since 2021, as well as low volatility through economic disruptions. Our total balance sheet is €73 billion of assets of which €15 billion over 20% resides in cash. We have been patient over the years with our excess liquidity avoiding frothy credit markets as we felt credit risk was mispriced. We have €52 billion in customer assets over 80% of our customer book is secured or public sector lending anchored by a €27 billion mortgage portfolio with an LTV under 60% in the DACH/NL region. The current environment of higher uncertainty directly impacts corporate borrowers and has the second order impact on consumers overall as an economic slowdown would eventually increase unemployment rates. In terms of our book our corporate lending exposure is only €2.7 billion, or 4% of total assets only €700 million, or 25% of the corporate exposure in less than 1% of total assets has material reliance on export/import markets and sales or supply chains. In addition, this book has a net leverage below four times and focuses on noncyclical industries with strong cash flows, which provide resilience through downturns. Our consumer unsecured lending of €6 billion is more sensitive to macro developments and changes in unemployment rates. Over the years, we have tightened underwriting to accommodate for inflationary impacts. Our real estate lending portfolio has an average LTV of approximately 50% and is made up primarily of residential and industrial logistics assets. Our U.S. office exposure which accounts for 4% of total real estate lending and less than 40 basis points of total assets has been the most distressed asset class we've seen since the financial crisis. However, our underwriting has been successfully tested in the U.S. office portfolio reduced with a resilient performing book looking forward. The recent market volatility from the short-term impacts of changing tariffs and more long-term impacts of a changing economic order and global trade will take some time to be fully understood. However, we have a solid foundation, fortress balance sheet and a leadership team that has worked together for over a decade navigating changing currents as we aim to be a source of strength for the customers and the communities that we serve. With that, I'll hand it over to Enver.
Enver Sirucic: Thank you, Anas. I will continue on Slide 10. A very strong quarter with net profit of €201 million and a return on tangible common equity of 26% net interest income up 21% net commission income up 10% versus prior quarter. Overall, core revenues were up by 19%. Operating expenses were up by 20% in the quarter and cost income ratio stood at 37%. Risk cost were €59 million in the quarter including higher risk costs for day one ECL and macro updates. On Slide 11 key developments of our balance sheet. Customer loans were up by 9% in Q1 and 46% year-over-year mainly driven by the two acquisitions. Cash position is now at €15.3 billion. It makes up 21% of our balance sheet leaving us with a very comfortable liquidity buffer to address potential organic and inorganic market opportunities in the coming quarters. The next slide our customer funding which is made up of customer deposits and AAA-rated mortgage and public sector cover bonds is up 1% versus prior quarter and stands at €62.2 billion with our cash position now at €15 billion. Overall deposit betas is 44% including higher beta deposits of recent acquisitions. So with that moving on to slide 13 core revenues. Net interest income of €446 million was up by 21% versus prior quarter with a very strong net interest margin of 331 basis points. Overall, we have seen solid volumes in the business and an uptick in deposit betas mostly coming from recent acquisitions. In terms of net commission income up by 10% with an overall good performance across trading, advisory and payments in our retail and SME segment. For the rest of the year, we expect a quarterly net interest income of about €450 million and net commission income of about €85 million. On slide 14, operating expenses are up by 20% in the quarter driven by the acquisitions and presenting the new run rate of the group. We expect the cost line to be about €800 million for full year in 2025, which includes any integration costs. On regulatory charges, we accrued for the higher bank lobby as proposed by the Austrian government program expecting a full year contribution of €40 million in total. Moving to slide 15 risk costs. Overall, continued strong asset quality with a low NPL ratio of 70 basis points. We booked €59 million of risk costs in the first quarter. We're representing the risk profile of a larger group and new product mix as well as risk costs related to day one ECL and macro updates. For 2025 we expect risk costs to be at around 40 basis points including any securitization costs. Finally, on slide 16 our 2025 outlook and targets, we reconfirm all our mid-term targets and our 2025 outlook and targets with a net profit of greater than €800 million and earnings per share of greater than €10. And with that operator let's open the Q&A please. Thank you.
Operator: Thank you. [Operator Instructions] We'll now go to our first question. Our first question comes from the line of Gabor Kemeny from Bernstein Autonomous. Please go ahead. Your line is open.
Gabor Kemeny: Hi, team. Thanks for the presentation. My first question is going to be on the Austrian litigation issue. I believe you booked some charges with the Q1 results. As far as I can tell maybe a few million euros and you had the useful disclosure earlier on what -- how you think about the portfolio being at risk which I believe implies somewhere around €1.5 billion maybe a bit more than that based on where you channel upfront fees which you indicated earlier. So my question would be how you derived the litigation costs you booked from this portfolio please? That's the first one. And the second one is on NII. You seem to be trending pretty well. I believe you were close to the €450 million run rate you indicated by an additional month of the Barclays Germany integration would give you another €30 million. So is it fair to say that your NII is trending ahead of the expectations you provided or you had a few months ago please? Thank you.
Anas Abuzaakouk: Thanks, Gabor. Good questions. I'll take the legal question and then Enver, you take the NII. So as far as the legal – the processing fees that you're referring to we've been in active discussions with the [indiscernible] or the AK. Those discussions are ongoing. We booked a provision. We will not disclose the amount of the provision as you can imagine those discussions are sensitive and confidential. But most importantly, we feel that – we feel good about our full year targets and we reconfirmed our full year targets in spite of whatever the outcome is from those negotiations. You’ll take the NII?
Enver Sirucic: Yes so on the NII trends yes, I think it is fair to say that we are ahead of our expectations for Q1. The only thing I would say in addition what you said on an extra month of Barclays contribution is that we see obviously rates coming further down. Also the outlook for the next coming months is a lower interest rate level than what we expected, which then obviously will come also with a higher compression on the NII side. That is something that needs to be heard into that as well.
Gabor Kemeny: Got it. Thank you.
Anas Abuzaakouk: Thanks, Gabor.
Operator: Thank you. We will now move onto our next question. Our next question comes from the line of Hugo Cruz from KBW. Please go ahead. Your line is open.
Hugo Cruz: Hi. Thanks for taking my question. I just wanted to get more of a breakdown on the risk cost. Can you disclose what the Barclays Day 1 ECL was for example or is there any other kind of moving parts within that risk cost figure? Thank you.
Enver Sirucic: So Hugo, if you look at the overall risk cost of €59 million, I would say probably if you think about the run rate we had a €13 million run rate before the acquisitions. We said that every month of Barclays is in the range of €6 million to €8 million and that is true as well for the first quarter. So that gets you to what mid-40s? And the residual to the €59 million is a mix of macro, which was mostly booking corporates Day 1 ECL and the legal provision for the Supreme Court case.
Hugo Cruz: Okay. Perfect. Thank you very much.
Enver Sirucic: Thank you.
Operator: Thank you. We will now move onto our next question. Our next question comes from the line of Amit Ranjan from JPMorgan. Please go ahead. Your line is open.
Amit Ranjan: Yes, hi, good morning and thank you for taking my questions. I have two please. First one is on the excess capital distribution. Can you please talk us through the thought process here? I saw some comments around application for approval in first half 2025 is that contingent on some milestones around the two integrations? Or what other considerations drive that decision, please? And the second question is around cost of risk again. Was booking of management overlay thought about in first quarter? Or was it beyond the cutoff point in first quarter? Is it something that could be considered for the future, given the current macro uncertainty? Thank you.
Anas Abuzaakouk: Thanks, Amit. I'll take the buyback question and then Enver take the cost of risk. So I mean as it relates to the buyback, obviously we stated that we needed to close Barclays Consumer Bank Europe. We have the first quarter behind us. We have not filed anything to date but the expectations is hopefully that should happen in the first half of this year and we gave guidance in terms of what our excess capital is, which was in line pretty much with our pro forma that we had communicated at year-end. Take the risk.
Enver Sirucic: Yeah. The cost of risk I think Amit, you said the macro overlay that we booked in Q1 is that something we expect for the rest of the year I guess. From today's perspective, no we don't expect that to be recurring for the rest of the year and we'll stick to our guidance of 40 basis points for the full year.
Amit Ranjan: Okay. Thank you very much.
Enver Sirucic: Thanks, Amit. Thank you.
Operator: Thank you. We'll now move on to our next question. Our next question comes from the line of Borja Ramirez from Citi. Please go ahead. Your line is open. The line of Borja Ramirez is open from Citi. Please go ahead. Your line is open.
Borja Ramirez: Sorry. Hopefully, you can hear me now. Sorry, I was being a bit slow with my mute. Sorry. I have a quick question on the NII. So you have confirmed the 2027 net profit targets despite the decline in forward rates. I think that's very reassuring and I think this may confirm the fact that you are here to positively gear to the steepening of the yield curve. So for example, I think your structural hedge is an amount of €40 billion if I'm not mistaken you have 25% of the balance sheet in cash that can be redeployed into highly yielding assets. And lastly, you have 90% of the housing loans in fixed rate and that can be repriced at higher long-term rates potentially. So linked to this, I would like to ask if you could give a bit more details on your NII gearing to the steepening of the yield curve? Thank you.
Enver Sirucic: Good question, Borja. I think there were different parts. Yes. So first, we did reconfirm our midterm targets. In terms of NII gearing, what we mentioned on Barclays, we try to be fully hedged on both sides of the balance sheet. So irrespective of the -- if it's fixed or floating grid assets, we moved it down to floating grid assets. So the only thing that really impacts the NII gearing is the structural hedge on deployed side and that is geared to more steeper curve. So while we do have a negative impact from lower rates that we expect short, we do have a positive impact from more steeper rate curve that is currently reflected. So that's why net-net, we don't see a significant impact on the NII for the medium or long term.
Operator: Thank you. We'll now move on to our next question. Our next question comes from the line of Noemi Peruch from Mediobanca. Please go ahead. Your line is open.
Noemi Peruch: Good morning. Thank you for taking my questions. My first one is on loan growth. In Q1 we have seen consumer and public sector lending strong and weak corporate and housing still. Could you walk us through like the drivers in the main geographies behind these trends? And I was wondering if this are in line with expectation or whether maybe we could see toward the lower end of your growth guidance in the plan given the current macro environment? And I also have a question on your macro updates. If you could just share with us, the GDP growth you embedded in your assumptions now just to make -- to understand how stress indeed your lab provisioning is at the moment? And then a final question on capital. The press mentioned a few SST transactions in the making few a month ago. I think one is already behind us. And I was wondering if indeed there are more to come? And if so, how sizable they could be and how early we can see their benefits? Thank you very much.
Anas Abuzaakouk: Thanks Noemi. All good questions. I'll take the loan growth, and then maybe you take the macro risk, Enver. I'll start discussions. So loan growth Noemi, we don't put volume targets. And reason we don't put volume targets is the macro condition obviously fluctuates and we want to be disciplined in our underwriting as we think about risk-adjusted returns and also have the flexibility. Having said that, if I go through the asset classes and the regions I think that you were asking about, I can give some commentary when you think about housing loans in the DACH/NL region, the challenge there in particular in Austria and Germany is both from a pricing as well as a demand standpoint, pricing is very tight when you look at credit spreads and the demand is muted especially if you compare to 2022, which was a high watermark point as far as overall volumes, and that still has yet to return. Consumer and SME is probably a different story. We've seen robust opportunities in terms of personal loans. We just closed on Barclays Consumer Bank Europe. And actually that is performing better than we had anticipated in terms of overall revolver balance. So we see a pick up in demand in the consumer unsecured, as well as leasing and factoring MSME to probably to a smaller extent. And then as far as the corporate public in real estate if I go through that public sector we've seen robust demand there. We think there's good opportunities given the spread levels and just given the market volatility there were certain opportunities in terms of spreads widening and good risk-adjusted returns. Real estate, we continue to be really conservative. If you think about the go forward originations, we've seen good opportunities in the US in particular with residential. But we see a good pipeline both US as well as Europe. And then the corporate has the most challenged space that one where we just believe credit risk has been missed priced and it's been really frothy. You see that also to a certain extent in the securities portfolio. But that's one where we'll be patient. And given the changing macro condition, kind of, this reordering of gold trade, you actually might see dislocation in opportunities for good corporate lending, which we haven't seen quite frankly for quite some years. So I know you're looking probably for a specific volume there, but I just try to give you perspective on just the different asset classes in the regions. Do you want to take the macro risk and capital?
Enver Sirucic: Yes. So the other two topics on the backdrop is, so what we did we don't disclose the exact numbers, but we had very low GDP growth in the assumptions as of Q4. And with the updates in Q1, pretty much the GDP growth comes close to zero. That was the main adjustment that we made in Q1. On the capital, I think the question was around SRTs and if you plan to do more in the future. Yes, so we do plan to do more in the field. We still see a constructive market in the SRT space. We don't rely on it. So for us it will always be something that we decide portfolio on every single deal. If it makes sense we'll do it if it doesn't make sense we don't need to do it.
Anas Abuzaakouk: Just add on the SRT that, there's an element obviously we are in the standard approach for the majority of our business. But we've also looked at SRTs over the years as a loss mitigation in terms of tail risk. And I think, those are good indications of how we think about managing our balance sheet gives you a sense whether it's in mortgages consumer unsecured corporates. We've used that as a tool in terms of just overall loss mitigation.
Noemi Peruch: Thank you. And could you perhaps share the potential benefit of future SRTs as of now? Thank you.
Enver Sirucic: No, we have not share that.
Noemi Peruch: Okay. Thank you.
Enver Sirucic: Thanks, Noemi.
Operator: We will now move onto our next question. Our next question comes from the line of Johannes Thormann from HSBC. Please go ahead. Your line is open.
Johannes Thormann: Good morning, everybody. Just some questions for me as well. First of all, on your cash on the balance sheet, it's of course comforting. But which extent are you willing to draw down the current amount like maximum of 50% or even to a stronger extent? And then what's your time horizon to get a feeling for this out, if you're seeing better opportunities in corporate lending. And in this respect also on your mortgage business, do you see any change in the risk or in the appetite of customers to apply for more mortgages in the DACH/NL region? Or is unchanged in your businesses? And then last but not least you talked about the simplification of the product range as now happen in Barclay card. Can you give us any examples because for example on the Barclay card in home page it looks pretty much unchanged. Thank you.
Enver Sirucic: Yes. So on the first one Johannes on the cash. Right now, the balance is around 20% of our balance sheet is in cash around 5% is in securities. How we think about it probably more sustainable long-term balances half-half. So we will not be ever using all our cash and deployed in securities but they're actually 50-50 is a good split. But right now we don't see a lot of opportunities because the spreads have tight again. So we'll remain patient on that side. On the long run I think Anas mentioned everything. We see slowly very slowly bit an uptick in demand, but it's really still quite muted on the mortgages.
Anas Abuzaakouk: The simplification -- the product -- that's more on the Barclays side. Johannes that's reflecting on the partnerships. So it's more of a monoline product. Obviously, they do PE loans as well but that was more a commentary on certain partnerships.
Johannes Thormann: Thank you.
Operator: Thank you. We will now move onto our next question. Our next question comes from the line of Tobias Lukesch from Kepler Cheuvreux. Please go ahead. The line is open.
Tobias Lukesch: Yeah. Thank you very much. Two questions from my side as well please. First on consumer loans. Maybe you can give us a bit of a sense how you see the market developing in Austria, but also in Germany and where you might see differences. Also, if I got you correctly, you did some macro adjustments but this was mainly on the corporate side. So what is your thinking about the retail? Where might you see changes here that might affect your assessment in Q2 Q3? And secondly, again, on capital distribution and potential share buybacks. Is there a bit of a nearer time line you can give us, in terms of when we should expect a potential announcement of an additional share buyback. Thank you.
Enver Sirucic: So, Tobias, I think on the consumer side, we don't really get any difference between Germany and Austria, very stable both in terms of loan demand. It's been quite stable also over the last couple of quarters, and the same is what you are seeing right now. Probably a bit more focused on Austria than in Germany, more opportunities there. In terms of risk profile, no, we haven't done changes. To be a bit more specific, there is a macro update as well for retail. It was just a bit more pronounced in the -- on the corporate side. And on the time line is, we can't really say more than what Anas said. So it's something for the second half, that we're looking to.
Tobias Lukesch: Thank you.
Operator: Thank you. There are no further questions at this time. So I'll hand the call back to Anas for closing remarks.
Anas Abuzaakouk: Thank you, operator. Thank you everyone for joining our first quarter call. I look forward to catching up with you, during the second quarter. Take care. Bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Speakers, please stand by.